Operator: Hello everyone. Thank you for standing by and welcome to Neonode’s Fourth Quarter 2013 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. At this time for opening remarks and introductions, I would like to turn the call over to Daniel Gelbtuch, our Senior Vice President of Corporate Finance and Investor Relations. Daniel, please go ahead and start the conference.
Daniel Gelbtuch: Thank you. Welcome and thank you for joining us. On today’s call, we will review our fourth quarter and year ended December 31, 2013 financial results and provide a corporate update. Our update will include details of our design wins, technology developments and new customer agreement that we recently announced. The prepared remarks will be provided by Thomas Eriksson, our CEO and David Brunton, our CFO. Before turning the call over to Thomas and David, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believe, estimate, expect, tend, will, guide, confidence, targets, projects and other similar expressions typically are used to identify forward-looking statements. These forward statements do not guarantee the future performance that may involve or subject to risks, uncertainties and other factors that may affect Neonode’s business, financial position and other operating results, which include, but are not limited to the risk factors and other qualifications contained in Neonode’s annual report on 10-K, quarterly reports on 10-Q and other reports filed by Neonode with the SEC to which your attention is directed. Therefore, actual outcomes and results may differ materially from what is expected or implied by these forward-looking statements. Neonode expressly disclaims any intent or obligation to update these forward-looking statements. At this time it’s now my pleasure to turn the call over to Thomas Eriksson, Chief Executive Officer of Neonode. Thomas, please go ahead.
Thomas Eriksson: Thank you, Daniel. Good morning everyone and welcome to the call. To start with, I’m very pleased to announce that we just received Microsoft Windows 8 touch certification for our new zForce Plus technology. This major milestone for Neonode has ultimate [club gates] for several mutual updates from Tier One PC OEMs admitted to integrate our solutions into Windows 8 ultrabooks, monitors, all-in-one computers and different PC accessories. With our solutions’ high performance low cost and easy high-yield manufacturing, we expect to garner incremental Tier One licensees and wins in the near-term. Moreover, we still expect to generate revenues from the PC segment this year with an accelerating ground occurring in 2015. One of the key markets for Neonode is automotive segment also development of product cycles is much longer than consumer electronics applications. Once traction is received, the revenues are linear consistent and long-term. Neonode is working with all major OEMs and ODMs in the automotive sector with success that was [envisioned] in the coming year. Neonode’s technology is currently being showcased on the industry leading entertainment system at the Geneva Multi Show. This implementation also proves the diversity and quality of Neonode’s zForce technology as automotive compliance and testing on among the most stringent and demanding of any testing requirements today in any industry. Our fourth quarter GAAP revenue of $1 million excluded approximately $713,000 of revenue due to our new revenue recognition policy, which recognized revenues on customer reporting rather than on earnings period. Our soft comparisons were due to the weak e-reader market, as retail ASPs are still well above $100, which is increasingly uncompetitive relative to color tablets. However, on the positive side, we signed a new contract with a major Tier One eReader OEM, so hopefully starting second half should help us recapture the market share that we lost over the last year. Moreover, we believe this large OEM is particularly focused on aggressively driving down retail price points in order to transform e-readers into compelling giveaways and promotional products, which hopefully will revive unit growth this year. The diversity of our technology in combination with our licensing business model allow us addressing markets that are ultra cost sensitive, but also markets that require very high performance. This provides with the needs that we can touch enable cost sensitive applications like (inaudible) to multi-touch PCs remove back down to display technology such (inaudible) and capacitive touch on printers and provide solutions for very high-end automotive entertainment systems. Moreover this diversity enabled OEM to touch enable spectrum used form factors such as round, curve, the regular shapes for automotive entertainment systems and wearable’s. The applications and surfaces that Neonode’s MultiSensing solution can touch enable envelop including LCDs, OLED, glass, wood, metal -- and other materials and even enable palm gesture to control variable devices using a person’s skin as a touch surface giving you the ultimate personal feedback and true lead time response. In the past 12 months, Neonode has invested great resources and focus on achieving not only Microsoft Windows 8 certification, but also improving our core technology for the diverse range of applications. Over the next 12 to 18 months, we expect revenues to be driven by PC and PC-related devices, printer, wearables and other high volume consumer electronic devices. Neonode is focused to grab market share and create new markets in all of the aforementioned markets. For example Neonode is aiming to dominate touch proximity sensing for notebooks, PC monitors all in one and printers. We are not only aiming to replace the current technologies all again in this kind of devices that also create new opportunities for the OEMs. We were able to integrate ultra low cost and high performance touch proximity sensing solutions in a greater range of devices. Neonode is aiming to grab market share and dominate in all of these markets including automotive. We are now engaged in numerous PC and semiconductor OEMs and have lots of development projects ongoing. In parallel, we are working with operating system suppliers to enhance the customer’s offering with low cost large screen solutions that adds features like low power 2D and 3D proximity sensing, air gestures and any surface touch for keyboards and mouse pads. On the printer front, we are very happy to announce that during Q4 our large Tier One printer customer started mass production of its first [mainstream] next generation printers that integrate our optical past technology. This large pre-launch round is in the latter stages and in full force. And we expect to see customer’s printers on the shelf in the near-term. We expect this particular OEM will progressively ramp up more than additional models over the course of 2014 and 2015 as our partnership keeps expanding particularly into the low cost printers using new technology. These low costs technology makes possible for our customer to touch enable the low cost printer control panels that normally include both keys and a display. Currently these types of high volume printers only have buttons without any touch function, as traditional resistive touch is way too expensive. Early ‘15 during the past year we have been very focused on completing our high performance and low cost multi-touch solution, zForce Plus, which just received Microsoft’s Windows 8 touch certification. Not only will our solutions drive PC touch total system cost to low computing solutions, but it will enable OEMs to add compelling features like proximity sensing and touch on any surface, while substantial reducing overall system cost in areas such as keyboards and touch pads. During last year we also continued to invest to further develop our single side touch-sensor now called zForce Air in terms of reducing the material cost for our customers and increasing overall performance level. Together with our hardware partners, we have also ensured good availability on the hardware components and reduce the lead time for short-term market project. We have also improved the mechanical architecture of the single side touch-sensor so it can easily be integrated into very small designs such as mobile phone cases and round smart watches. Along these lines, we have made significant strides in the whereabouts and peripherals, both of which have billion unit plus potential. As we demonstrated during the Mobile World Conference last week, our proximity sensing smartphone cases and smartwatch designs are gaining substantial interest and traction. Our smartphone case module which integrates through the proximity sensing and lower energy glucose is now commercially ready for production and finally made up to billion units (inaudible) market to differentiate the value added intelligence features. While this segment is still developing, we're working with Texas instruments and the major peripherals OEMs for our eagerly anticipating market’s ramp. On the IP front, we have been extremely active and have intensified development of our touch and user interface solution to further expand and bolster our patent portfolio. To date we have 31 patents issued and have 87 patents pending up from 20 and 80 last quarter. And now over to David who will talk about the financials.
David Brunton: Thanks Thomas. Earlier today we released our fourth quarter and year ended December 31, 2013 financial results press release and filed our annual report on Form 10-K. Both of these are available for download from the investors section of our website at neonode.com. For the fourth quarter ended December 31, 2013 revenues decreased 57% to $1 million compared to $2.3 million for the same period in 2012. Our revenues for the three months ended December 31, 2013 included $867,000 from license fees plus $142,000 of non-recurring engineering or NRE fees compared to $2.2 million of license fees plus $160,000 of NRE fees for the same quarter in 2012. One of the reasons for the decrease is that in the fourth quarter 2013, we determined that it's appropriate to recognize licensing revenues in the period in which customer royalty reports are received rather than in the period in which the products are distributed or to which the license fee relates. The effect of this chain is that $713,000 of licensing fees will be recognized in revenue in the first quarter of 2014 rather than in Q4 of 2013. On a full year basis, revenue were $3.7 million a 48% decrease from $7.1 million for 2012. For 2013 78% or $2.9 million of our revenue was generated by licensing fees, compared to 87% or $6.2 million in 2012, while remaining revenue for both periods was related to engineering fees. On a previous call, we discussed that in the fourth quarter of 2012, Amazon discontinued shipping its (inaudible) that used our touch technology. Amazon accounted for 32% of our revenue or $2.2 million in 2012. We also previously discussed that in 2013, several new customers such as Leapfrog, Volvo and Oregon Scientific began shipping products in markets other than new leaders. The license fees from these new customers and others were not sufficient to offset the decrease resulting from the change in our revenue recognition policy combined with a loss of the revenue from Amazon. On the customer front, we signed nine license agreements with new customers in 2013 and now have license agreements with 33 customers. In addition, we have several additional license agreements with new customers in the final review phase. Our operating expenses for the fourth quarter were $3.8 million and have been basically flat throughout 2013. Operating costs for Q4 2013 a 4% decrease from the $4 million after (inaudible) for the fourth quarter of 2012. This primarily due to a decrease in our sales and marketing department cost due to lower headcount. And the overall decrease in our sales and marketing costs were partially offset by the increases in our R&D costs as a result of an increase in headcount and salaries and costs associated with developing and building PC related demo units. On a full year basis our operating costs saw a slight increase to $15 million compared to $14.8 million for 2012. Included in operating expenses is a non-cash stock compensation expense totaling $2.7 million for 2013 compared to $3.5 million in 2012. The overall increase in operating expenses is due to several factors. In our R&D group we hired several engineers to service the significant increase in customer development engagement and to improve our bench strength due to our increased emphasis on the development of game changing intellectual properties. In addition we incurred significantly higher legal expenses related to patent filings in 2013 compared to 2012. We filed 50 new patent applications in 2013 compared to a total of 64 since 2001. As of December 31, 2013 we have 27 patents issued plus 87 patents pending worldwide. Our patent portfolio covers six main areas, user interface, optic, controller integrated circuits, drivers, mechanics and applications. We believe that we moved continued emphasis on rigorous IT development will serve the company well in the coming period as our new technologies are incorporated into customer products. We plan to continue to increase our headcounts globally into service new and existing customers and to expand to reach of our sales force. To note we recently announced the addition of a vice president of global sales and a director who is going to take charge of the new opportunities in the global PC monitor markets, running Microsoft Windows and Google Chrome operating assistance. Our cash operating expenses are currently averaging approximately $1.2 million per month. We estimate that this amount will increase gradually as of 2014, as we bring new personnel on board in our office in EMEAs and Sweden to take advantage of customer driven opportunities in addition to continuing our focus on inventing new technologies. Now I will move to the balance sheet. As of December 31, 2013, we had cash of approximate $8.8 million plus $1 million accounts receivables and total working capital of $6 million. Our operations use $8.8 million of cash in 2013 compared to $3.7 million of cash used in operations in 2012. During 2013 we received net proceeds of $1.8 million related to the exercise of stock options and warrants. In addition new raised approximately $6.9 million in cash net of selling expenses and issued $1.2 million shares of our common stock in a September 2013 financing transactions. As of December 31, 2013 our shareholder equity is $6.3 million and at the end of 2013 we had approximately 37.9 million shares of common stock outstanding plus 800,000 units and 1.6 million stock options outstanding with a total of 40.3 million fully diluted shares. Now I will turn the call back over to Thomas for some closing comments.
Thomas Eriksson: Thanks very much, David. To recap Neonode continued to gain momentum and visibility in the market that will allow the company to further accelerate growth in 2014 and beyond. We are not only securing new design wins, but we are aggressively investing in our business to meet our customers demand and to remain in the leading edge of touch and proximity solutions. I would not take this opportunity to thank all our customers, partners, investors and our very talented and dedicated employees for the trust and support. This concludes the prepared remarks and I will open the call for questions. Thank you very much.
Rob Stone - Cowen and Company: Great. Congratulations on the Windows 8 certification.
Thomas Eriksson: Thanks.
Rob Stone - Cowen and Company: Thomas, now that you have certification and you mentioned in your press release and prepared remarks that you have projects underway, what’s left to do in terms of getting PC products to market? And do you have a sense of when we might see the first ones reaching the channels?
Daniel Gelbtuch: Rob, this is Daniel. The technologies obviously going to always be improved and tweaked and we’re adding features to it like our native proximity sensing features and stuff like that. But as it stands right now, the technology is ready and we’re working with Tier One OEMs, multiple Tier One OEMs on hopefully many projects. So right now, we’re in a very sensitive stage of (inaudible) the many different opportunities (inaudible) know in the very near term exactly what we’re going to be working on. And we still believe that we will have PC related revenues within the next 12 months to18 months. So, hopefully within that period of time we should have PC revenues.
Rob Stone - Cowen and Company: So, it’s too soon to tell whether it’s this year potentially?
Daniel Gelbtuch: Again, we hope to have PC revenues very soon. It’s certainly possible; we’re going to have to figure that out over the next few weeks.
Rob Stone - Cowen and Company: Okay. And then just a point of clarification, you mentioned the first printer model is in production, more to come and you also described a new contract win for a low cost printer. Is that with the same customer or a different customer?
Daniel Gelbtuch: It’s with the same customer. Yes, as we mentioned, we’re at the latter stages or our customer at the latter stages of pre-inventory -- pre-launch build and things are going very well. And we hope to have and we hope to see products on the shelves in the very near term. And these new wins which are at -- particularly at the lower end of their business line are very good validation for our technology at even lower costs to show that -- demonstrate that we can even replace [buttons] at this point and in a very cost effective way.
Rob Stone - Cowen and Company: Okay. My final question has to do with the smartphone cases; you mentioned demonstrating that recently at Mobile World Congress. I guess one of the hurdles is developing applications that would take advantage of that technology. Can you provide any color on potential partnerships there or maybe a case could be bundled with an app? Thanks.
Thomas Eriksson: Yes. We’re talking to several game companies for using this as a platform but this iPhone case is really to showcase our single side sensor which we really today calls zForce [air] that means you can touch enable any surface. So this is one application really to showcase what we can do with the technology. It’s not the product we develop, in fact it’s a reference design that case manufacturers can take at starting point of their design and use our technology. So, it’s a complete reference design we have developed together with Texas Instruments.
Daniel Gelbtuch: Just to add to that along those lines, there are number of case manufacturers for both tablets and for smartphone; it doesn’t necessarily mean it’s just for a smartphone, there is some tablet case manufacturers that are interested in a purely as a [mouse type] function which doesn’t really exist, a virtual [mouse type] function. So the killer apps are still, some of them already exist in theory on the [mouse] side for a tablet but again we’re working with some software application developers to create more killer apps for.
Rob Stone - Cowen and Company: Great, thanks guys. I’ll jump back in the queue.
Operator: Our next question comes from the line of Mike Malouf with Craig-Hallum Capital.
Mike Malouf - Craig-Hallum Capital: Great, thanks for taking my questions. And let me give you my congratulations on Windows 8. That’s a big hurdle, and that’s great. 
Daniel Gelbtuch: Thank you.
Mike Malouf - Craig-Hallum Capital: My question is, if you could give us a little bit of clarity on your competitive position within Windows 8. When you talked to OEMs, it sounds like you’ve talked with them pretty extensively over the recent period. What kind of difference with regard to a bill-of-materials are you offering up an OEM versus what they can get from either the ITO, traditional ITO or the new emerging metal-mesh providers?
Daniel Gelbtuch: So, Mike it’s an excellent question. But as you can imagine right now, we’re in very extensive negotiations and discussions with our customers. So we really can’t give you a precise bill-of-material. But what I will say is that from what we understand the cost for traditional ITO is right now in the $30 range, the metal-mesh guys are in the $20 to $30 or even higher. And we are considerably below that level or fraction of that level.
Mike Malouf - Craig-Hallum Capital: Great. And…
Daniel Gelbtuch: And on other note, just to add to that as our light guys improve, as LED prices continue to reduce, and as our controller continues to evolve, our internal costs will continue to go down, excuse me, not our internal, the system cost for our solution, total system costs continue to decline. So we have a very good path for consistent cost reductions going forward going forward.
Mike Malouf - Craig-Hallum Capital: Great. And those cost reductions would go directly to the OEM and your license would remain hopefully static over that time?
Daniel Gelbtuch: Absolutely, that’s exactly. We move in the same direction or at the same interest for our customers. So they benefit a 100% from the system cost reduction.
Mike Malouf - Craig-Hallum Capital: Great. And then I’m wondering, as you have gone through this Windows 8 certification, have you been able to seeing any performance difference from the usability standpoint? I mean is the customer going to know whether or not this is a Neonode touch sensor or a traditional ITO? Is it going to act different, is it going to be either slower or faster or better at some things or worse at some things?
Thomas Eriksson: The technology optical that means [Technical difficulty]
Mike Malouf - Craig-Hallum Capital: Hello?
Operator: (Operator Instructions). Our next question comes from the line of (inaudible).
Unidentified Analyst: Hello, can you hear me? Hello? I guess not. Hello? [Technical difficulty]
Operator: Ladies and gentlemen, this is the operator, I apologize that there will be a slight delay in today’s conference. Please hold and the conference will resume momentarily. Thank you for your patience. You may proceed.
Daniel Gelbtuch: Yes, sorry about that. Mike, can you hear me? Hello, is Mike Malouf there?
Mike Malouf - Craig-Hallum Capital: Can you hear me?
Daniel Gelbtuch: Yes, sorry about that. There was some technical difficulty, our line dropped. Can you ask that question again? You were asking about, excuse me, performance difference.
Mike Malouf - Craig-Hallum Capital: Yes, my question was, let me just rephrase it or start over is, as you look on the usability of your technology versus the traditional ITO or the metal-mesh technology, is there any difference in how a customer, an end customer would perceive using a Neonode test sensor versus some of the others? I mean is faster or slower, or does it do better at some things than others, trying to get a sense of in the -- when someone’s at the retailer, will they either, is there a difference on a choice there? Thanks.
Thomas Eriksson: Hello. Yes. First of all, the technology is optical; it means that there is no need for any conductive object like the [positive] touch. So, in fact you could use a nail or finger or any object to control touch screen, so also plastic pen and other objects. So, it’s going to be a feeling of a very smooth operation and also the touch screen in some situation can be very fast. So, for one or two finger tracking, we’re looking at 200 or 300 frames per second, which is quite much better than competing solutions today.
Mike Malouf - Craig-Hallum Capital: Great. And then just a couple of follow-up questions, when you talk to the license of the OEMs; and obviously touch has been pretty low penetration so far versus expectation, are you getting any kind of feedback from these OEMs on how many devices that they would like to roll touch out to over the next couple of years?
Thomas Eriksson: Well, they don’t give us exact numbers, but again they are very much focused on getting this out as soon as possible and trying to get it across everything that’s Windows 8 provided that the cost and the yield and the easability or the pragmatic -- or the way of making it easily is -- it’s all pragmatic. If it makes sense, they want to have it across their product lines. So, again there are a number of estimates out there, which I think are very much predicated on ITO still being dominant or being the only solution, but now that there is an alternative, I think that dramatically or should dramatically change the landscape over the next 2 years. Again, if we have a cost effective product that’s easily manufactured at a high-yield, there is no reason why they wouldn’t use it across all product line.
Mike Malouf - Craig-Hallum Capital: Great, thanks a lot. I appreciate it.
Operator: Your next question comes from the line of [Nick Celentano] with Wavelength Asset Management.
Unidentified Analyst: My question was just asked and answered.
Operator: Your next question comes from the line of (inaudible).
Unidentified Analyst: Do you hear me now?
Daniel Gelbtuch: Yes.
Unidentified Analyst: Okay. First, I missed part of the call. Did you provide any financial guidance in terms of revenues, net income or cash flows for the year?
David Brunton: No, we do not provide guidance at this point. As you can understand right now, we’re in a very interesting period where we have initial ramps of new markets like printers and children’s tablets and of course PC is coming right into the fray right now, and we’re going to probably have much better understanding of that over the next few weeks. And so therefore visibility is very much something that we can’t predict and we’re just not giving guidance at this point. 
Unidentified Analyst: All right understood. And then a separate question about the non-recurring engineering development costs. When I compare the 10-K and the 10-Q, looks like you divided the total payments made in 2013 under the TI agreement from 304,000 to 270,000 and I’m trying to understand what caused the revision?
David Brunton: Yes. So, can you just repeat that? I didn’t understand exactly what you’re asking.
Unidentified Analyst: Yes. In the 10-K you have a section on the non-recurring engineering development costs and in that section it says that the payments for 2013, the total payments under that agreement were 270,000, but in the September 10-Q, the number was 344,000, so I am wondering what happened there, why was the number revised down?
Thomas Eriksson: That’s a good question, but we’ll have to take this offline and we’ll try to get back and answer for you. But again remember that those non-recurring engineering payments go to TI that is for development of the controller chip. And again I will try to reconcile that, hold on a second. Here is Dave Brunton our CFO.
David Brunton: Yes. The difference is that at Q3 we included the [VAT] tax because the pay down of our subsidiary in Sweden and there is VAT included. And at year-end when we went through the audit, we determined that the VAT which is 25% in Sweden we should not have included the VAT tax because that goes to the government not to TI.
Unidentified Analyst: Understood. So basically when I look at this number right now, so this 270,000 I should be able to imply the number of chips by simply using the numbers in the agreement like the number of A6 that have been shipped?
David Brunton: You’re asking about -- paid in cash, right? So there is also some -- there is a table on the book. So yes, but you are right. There is a group at $0.05 and a group at $0.08. So you have to do math. But yes…
Unidentified Analyst: Right. So the expense basically, the expense is net of value-added, that’s right, the expense is a clear number.
David Brunton: 270 is, the 344 was not.
Unidentified Analyst: Right. But the expense not the payment, the expense for the year is clear number. Okay. That’s it from me.
Operator: (Operator instructions) Your next question comes from the line of Mike Adams with Millennium Partners.
Unidentified Analyst: Yes. Hi, how are you? Can you comment on the 879 patent first?
Thomas Eriksson: Yes. Again, I wish I could. Right now, it’s something that we are obviously working on very diligently and it’s something that’s in a very sensitive state. As you have seen in our prepare remarks, the (inaudible) that we have across the Board went up to about 31 patents issued, I think it’s 87 that are pending, which is a considerable jump. And what’s in those 31, a number of them are actually UI related, they strength in dramatically our UI base. And again, we are working diligently on the monetization part. But at this point we cannot comment, it’s a very sensitive subject at this point.
Unidentified Analyst: Right. Anything, when do you think we’ll hear something about that?
Thomas Eriksson: Well, I hope as soon as I can -- a number -- the options here are I guess are fourfold, either we could do nothing with them for a variety of reasons or we could theoretically sell them or we can partner up with a [tool] or we could theoretically if we lost our minds, we could try to sue by ourselves. But, so you can imagine we have a number of options, again we are not shirking our responsibilities in terms of looking for the best options. And we are trying to figure out; we’re at the latter stage to figuring out the latter stages of figuring out which one is the best option of the four, really the three.
Unidentified Analyst: So, you think we'll hear something on the next call?
Daniel Gelbtuch: I hope so, but I can't give you that level of guidance. That's something that we're working on. But again that's a very sensitive subject.
Unidentified Analyst: Thank you.
Operator: And there are no further questions at this time. Are there any closing comments?
Daniel Gelbtuch: Yes.
Thomas Eriksson: Yes. We want to thank you all for joining us on the call. We will keep you posted on our progress in 2014 and in the future. Have a very good day and thank you everyone.